Operator: Good day and welcome to the Watsco Fourth Quarter 2024 and Year End Earnings Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Albert Nahmad, Chairman and CEO. Please go ahead.
Albert Nahmad: Good morning. [Technical Difficulty] earnings call. This is [Technical Difficulty] A.J. Nahmad, President of Watsco; Paul Johnston; Barry Logan; and Rick Gomez. Now, before we start, our cautionary statement [Indiscernible]. This conference call has forward-looking statements as defined by SEC laws and regulations that are made pursuant to the Safe Harbor provisions of these various laws. Ultimate results may differ materially from the forward-looking statements. Now, on to the call. Watsco had a terrific, emphasis on terrific, fourth quarter to close out a strong year. We achieved record sales, expanded margins, improved operating efficiency, and generated record earnings and cash flow. Market conditions continue to improve, which led to a 14% growth in equipment sales and 16% growth in residential products. Our financial position is stronger than ever and we are happy to announce today an 11% dividend increase to $12 per share. Looking forward, we are optimistic about our opportunities ahead of us. First, transition to next-generation A2L products is well underway. The new A2L products provide the opportunity to upgrade the installed base of existing equipment to systems that are more efficient and environmentally-friendly. We also made the transition that influence 50% to 60% of our sales. We are making investments to train our customers, leverage our technology advantage, and transition close to $1 billion in inventories to aggressively take advantage of this opportunity. Second, our technology platforms have gained momentum. Our community of active users of Watsco mobile apps has expanded to over 64,000 users. E-commerce sales during the quarter increased 16%, outpacing overall growth rates and now represents 35% of our annual sales, which is a number of $2.6 billion in aggregate. OnCall Air, our digital sales platform for contractors presented approximately 313,000 proposals to homeowners, generating 1.5 million in gross merchandise value, a 25% increase. There is no question that our technology investments have contributed to our performance and provide us an immense competitive advantage. And the importance of these investments will only grow with time. Finally, we believe our strong financial position is also an important differentiator. We have the ability to invest in big opportunities to accelerate growth and gain market share. In January 2025, we completed our 70th acquisition since 1989. There are many great family businesses in our industry that we believe offer compelling reasons for them to join forces with us. As always, and I emphasize this, our focus is on the long-term. We have a great deal more to accomplish and we welcome any of you to visit and spend time with our team in Miami to learn more. With that, let's turn the Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from David Manthey with Baird. Please go ahead.
Albert Nahmad: Morning Dave.
David Manthey: Yes. Hey, Al. Good morning. First question is with double-digit unit growth in residential versus 16% reported, I guess that implies mid-single-digit price/mix. Was A2L a driver of that uptick? And just a general update when do you expect to be fully transitioned to the new technology? And it seems like channel feedback is 8% to 10% pricing. Is that consistent with how you're thinking about things?
Albert Nahmad: Let's turn to Paul Johnston for that answer.
Paul Johnston: Yes. In the fourth quarter, no, we really didn't have much of an impact on A2L. We were 90%-plus on the 410A. Pricing actions, yes, 8% is what was previously announced with the tariffs coming online from the White House. It seems like there's going to be some more pricing actions from the manufacturers that are going to be announced here shortly. So, we're going to start seeing more single-digit price increases.
Barry Logan: Dave, your question about the unit growth, I don't -- I'm not sure quite I follow the logic of your math. And just to be super clear about the math, we saw the residential products up what it is for the quarter. But if I look at inside, let's just be careful with it. So, unit growth, which when we say the words unit growth, it equates with how AHRI looks at equipment growth, which is unitary products, compressor bearing units. So, across Watsco, all markets, that was up 16% for the quarter and price was an additional 3%. Domestically, it's actually a bit stronger than that in terms of unit growth. So, it is a there is some price and mix and driven also by much stronger unit growth. And as Paul said, there's a small influence, a minute influence from A2L in the quarter and greater influence as we get into 2025.
David Manthey: Yes. Thanks for that, Barry, that's encouraging. And just one quick one, kind of on a tangent. Could you talk about Watsco Ventures' ownership position in HouseCall Pro? Could you scale that for us and just give us an update there?
Albert Nahmad: A.J.?
A.J. Nahmad: Yes, Watsco does not have an ownership in HouseCall Pro. We have a commercial relationship, which we've enjoyed with them for a very long time and have both benefited from. The flagship in Watsco Ventures portfolio is OnCall Air, which is our homegrown software and our homegrown business called OnCall Air, which helps the contractor sell at the home. And that's being used at scale now and continues to grow about $1.5 billion worth of our customer sales to their customers. Now, we're powered through that platform and customers are that are using it, they're growing faster, they're winning more deals, they're higher margin deals, they're higher ticket deals, and it's a win-win-win for everybody. But to answer your original question, Watsco does not have any investment in HouseCall Pro.
David Manthey: Okay, that's great. Thank you very much.
Operator: The next question comes from Tommy Moll with Stephens. Please go ahead.
Albert Nahmad: Morning Tommy.
Tommy Moll: Morning Al and thanks for taking my question. First question is if you look at your inventory position today, what's the best guess on when you've run down that 410A currently on the balance sheet and should fully transition to the new product? I mean it will depend on the weather and other factors, but what's a reasonable outlook there?
Albert Nahmad: Paul, Barry, do you want to take a shot at that?
Barry Logan: Go ahead, Paul.
Paul Johnston: Yes. We've been working with our subsidiaries to try to make sure that we sell through the 410A and do a reasonable transition into the A2L. And at the present time, what we're looking at is, I would say, probably the beginning of second quarter, we should be pretty much running our 410 down to almost nothing, and we should be almost fully engaged with A2L. It's not to say that we're not going to still have 410 products. We still will have 410 products probably throughout the year, but the big transition is probably going to occur in the second quarter.
A.J. Nahmad: I would agree with that. I'll just also add, I don’t know just to clarify, our position is that whether the regulation says it specifically or there's noise around it is that we want to be through selling and three of our 410 inventory by the end of 2025, and we fully expect to do that. And that's in large part because of the scale and the power of Watsco. It's a good time to be the size that we are because our business units can help each other. There's a lot of data surrounding what's where in terms of inventory and what products need to be moved and they can help each other out and clear out what needs to be cleared out in time.
Tommy Moll: Well said. Follow-up question. As you do start to run more of the A2L volumes through -- it's really a two-part question. What, if any, impact should we think about in terms of the gross margin percentage there, obviously, with the mix tailwind? And then as you execute this in the marketplace, how are you helping your customers in turn, articulate the benefits of the product to the end user here? I mean we're -- we, on the call, are all prepared for substantial price/mix increases. But at the end of the day, this occurs at the kitchen table. So, how are these conversations -- or how are you helping your customers with these conversations as we move forward? Thanks.
A.J. Nahmad: I mean, that's what we do no matter what are the changes. That's our job. Maybe some more specifics, Paul, Barry?
Paul Johnston: Yes. We provide extensive training to our customers to get them ready for the transition to the new refrigerant. As you know, it's got slight flammability to it, so it has to be handled in a little bit different manner. And it's got other components that are going to be on the product that aren't on the 410. So, a lot of training has gone in prior to the introduction of the product. As far as the gross profit movement, you'll see the gross profit dollars probably go up but because it's a brand-new product, you're not going to see so much the gross profit percentage move up that much to start with. It's going to be a more expensive product than the 410A product and we expect that to be somewhere in the neighborhood of 8% to 10%.
Tommy Moll: Thank you.
Barry Logan: Yes, just to add to that, obviously, the entire database of product information that we own needed to be upgraded and has been upgraded for all the new products. And how things match and fit and even down to how permits can be pulled on new product, is all a digital experience now for what is -- we say 35% of total Watsco and it's probably closer to 45%, 50% of our residential business in Watsco. So, you have this digital platform that's kind of smoothing the transition into how customers actually buy the product, specify the products, match the products, add correlated products to those products, and you get the drift. So, you kind of have this -- I would say, the last time we did this, we didn't have these tools and not on scale, at least to the way that we have them. And so that's super important in this discussion. And we mentioned OnCall Air, A.J. mentioned OnCall Air. For those customers signed up on that program, now those tools are actually feeding how a consumer is going to learn and see and experience these new products. So, it's a very good timing. I just wish the user community of OnCall Air was 10 times the size, but it is $1.5 billion of stuff that a consumer is seeing digitally for the first time in their lives buying these products. So, there is momentum and that's part of the answer. Going back to gross profit, just to add to what Paul said, it is an algebraic equation that has the benefit of higher cost for sure and if we just apply the same margin, that's good for business, right? And of course, one of our other technologies is a pricing platform and the intent there is to make a better margin where we can, if we can, and use the technology to inform our teams on how that's going. So, that's a bit more of an abstract answer, but it's one of the opportunities we see with new pricing technology in place as well.
Tommy Moll: Thank you all. I'll turn it back.
Operator: The next question comes from Jeff Hammond with KeyBanc Capital Markets. Please go ahead.
Albert Nahmad: Morning Jeff.
Jeff Hammond: Hey good morning guys. Just back to fourth quarter, I mean, very strong unit growth. I'm just wondering if you can unpack what's kind of easy comps? What's kind of this supplier issue, lapping the supplier issue? And then was there any evidence that contractors were taking 410A that would have impacted the fourth quarter? And then just last, any kind of change in optimism around just underlying demand? Thanks.
Rick Gomez: Yes, Jeff, this is Rick. I can take the first part of the question about just the unit trends and what we saw within the customer base. First, on the comps, I think fourth quarter of last year, we said we were down about 4% and so when we looked at units organically over the two-year period, it's up about 12%. So, it is not just a comp that's benefiting that. I think there's good underlying demand, good underlying new customer acquisition, and we think some market share that will be evident in the data going forward. Now, the question then becomes, did -- was some of that demand, the contractor channel holding more inventory than they normally do. And I'll give you a couple of data points there. First, just conceptually, I think we all know the average contractor is a small business, an owner-operator, handful of trucks. They don't have 100,000 square foot facilities just to store inventory. They tend not to invest in inventory and working capital because we are just -- we, the distributor, are their just-in-time inventory partner. And generally, they have days of inventory on hand, not months of inventory on hand. So, conceptually, the channel has never really had a whole lot of inventory beyond us, the distributor. So, secondly, when you look at our movement throughout the fourth quarter, if contractors were buying, you'd say you'd see a spike in December. And what we saw was very balanced growth throughout all the fourth quarter and October was just as strong as December, which does not -- would not easily lead to the conclusion that there's more inventory out there. And we then looked at our own customer level trends among our largest customers. They would be the ones who would have the capacity to buy forward and hold inventory and there's nothing in that data that points to large-scale buying. And fourthly, just to beat the horse dead now, I think our own inventory says a lot about this question. And beyond the dollars that you see on the balance sheet, units in inventory have been very balanced and flat versus two years ago, believe it or not. So, we don't see a whole lot of evidence that contractors are carrying much inventory beyond us in the channel and nothing that would cause alarm about what 2025 growth rates might look like.
Jeff Hammond: Okay, great color. No, go ahead.
Barry Logan: I feel like beating up the dead horse some more, Jeff. You mentioned about recovery of business from one of our OEMs who had issues a year ago. There is recovery, but that's not what's driving the growth that you see. It's a component of it, but it's not anywhere near the principal reason. And one of the principal reasons that I want to emphasize, Rick said, is new customer growth. We really have seen progress, either technology or whatever market share generation concepts we are doing. The greatest component of growth this quarter is new customers. So, I want to say those words like next year and feel like we have a really progressive trend going in that direction, but we saw that this quarter for sure and we've seen it year-to-date.
Jeff Hammond: Okay. Thanks. Great color, guys. Your balance sheet is in great shape. Just maybe talk about the M&A environment. It does seem like private equity has been more present in the space. Just what are you guys seeing in your pipeline, et cetera and the ability to get stuff done?
Albert Nahmad: Go ahead, Barry.
Barry Logan: Yes. David, this is the same story that you've heard for much of my career -- our careers, right, is there still easily 50 to 100 families that own businesses that are $100 million and more. We've tried to always know the families, have a personal relationship, have now multigenerational relationships in those families, much of them are second, third generation at this point. And I would say the stability of the last one year or two, COVID, you had wild increases in earnings. The question is, were there wild variations in valuation or not. Well, now we have a couple of years behind that to kind of know where things are and know where things stand. And it's a -- I think it's a confidence builder for us to invest. It's reality in terms of how some of these businesses should look at their own valuation. I would say, private equity seems still interested, but less a factor than maybe during COVID when the valuations had run wild and there were people taking debate in that respect. I would say it's a bit more business as usual in that respect now, but we'll see. As always, our job is to have great relationships and be there when the families want to play something out. And we feel good that there's some good activity in that respect going on today.
Jeff Hammond: Thanks a lot.
Operator: The next question comes from Damian Karas with UBS. Please go ahead.
Albert Nahmad: Morning David.
Damian Karas: Hey, good morning Al. Nice work in the quarter.
Albert Nahmad: Thank you.
Damian Karas: I guess the one area that's maybe just a little bit stagnant still is the non-equipment sales. Could you maybe give us a little bit color around what you're seeing in that area of the business?
Albert Nahmad: Paul?
Paul Johnston: Yes, I think you're seeing a couple of things happening there. One, we've got a lot of that business that is driven by commodities, copper, refrigerant, steel. I think we're going to see a pop perhaps in steel and a pop in copper, refrigerant still has been slow. When you get into the parts business, which is what it takes to actually install a unit or repair a unit in the field, we saw a definite increase. In fact, we had a double-digit increase in parts which indicate that there could be kind of a dual action going on in the industry right now where we've actually seen parts sales go up at the same time, we're seeing equipment sales go up. So, outside of the commodity portion, I would have to say we're very pleased with what we're seeing in the aftermarket right now also.
Damian Karas: Great, that's really helpful. And my follow-up, I know you guys are absolutely delighted in talking about gross margins. But I wanted to kind of just hear your confidence in the path to getting back to 27% or higher when that might be. And I'm just curious if any of these new customers that, Barry, you talked about driving a lot of the growth, if you expect that to have any kind of meaningful impact on your profitability as you bring some of these new customers into the mix?
Albert Nahmad: Well, you may or may not have heard that our aspiration is a 30% gross profit margin. And we think we're going to add a lot of value to our customers to achieve that in products or services. So, we aspire more than we presently have. And do we have a time period on that? No. But we think it's possible and we have the tools and the means to get there, probably better than anybody else. Do you want to add anything to that?
Barry Logan: Yes, I mean I'll add something. Again, in just some depth. Within Watsco, we have a number of business units. And like any portfolio, you have outperformers and our outperformer business units are at or near 30 today. So, it's not a pie in the sky number, it's something we see within our network that we -- like any -- again, like any portfolio, we want to work towards the maturity as well as the overall capability of much higher margins. But in the near-term the short-term, which is your question, obviously, we had some impact this year that we described last quarter about recovery with one of our vendors, cost us about 30 basis points this year and we expect to recover that and hopefully expand on that in future periods. And that's the cost of doing business this year that was needed. And now we move on from that point of view. Also, the technology story that we've told on pricing and technology. And again, anyone is welcome to come down and understand this better. So, it's not just a sound bite on a conference call. Anyone is welcome to come down and learn more. But the idea of a culture of improving technology to price every product we sell is still ongoing and that's part of the long-term. Short-term, it's basis points. Long-term, we want it to be percentage points. And product mix is another. This year, a little bit of headwind, probably 20 basis points or so in our -- the growth of our equipment versus the flatness of our non-equipment. And I want, Paul, to be right in their sentiments because if they grow together, that's accretive to margin, certainly in the short-term.
Damian Karas: Appreciate your time. good luck with everything.
Barry Logan: Thank you.
Albert Nahmad: Thank you.
Operator: The next question comes from Ryan Merkel with William Blair. Please go ahead.
Albert Nahmad: Morning Ryan.
Ryan Merkel: Morning. I want to go back to the fourth quarter, the new customer growth being the big driver. Why all of a sudden in the fourth quarter did you see this? And then who are these customers? Are these more tech-forward contractors that appreciate your technology or is there anything similar about these customers?
Albert Nahmad: Barry?
Barry Logan: Rick, go ahead.
Rick Gomez: Yes, Ryan. I don't [indiscernible]
Albert Nahmad: [Indiscernible] very junior, so you.
Rick Gomez: The trend was not isolated to the fourth quarter. I think we saw that trend kind of build throughout the year. If you go back in time, this time last year, it was, I'll call it, a choppy sideways kind of market. Those are generally markets where we do very well in and have been good at gaining share. And so we just saw it build really throughout the year and it really showed itself in the fourth quarter a little bit more. But the annual trend is almost exactly the same where we saw the highest amount of revenue contribution from new customers since we started measuring that metric many years ago. What do they look like? I mean yes, it's a good question. It's like snowflakes, they all look a little bit different. I would say that, that mix is -- we are well-represented with the large contractor. And what we always want to do is go after that mid-tier contractor in the market. And that's where our non-equipment offering sometimes resonates even more. That's where the product depth and the diversity of what we carry in inventory matters a great deal. And it's also where our technology can be a bit of an inflection point for that contractor. We hear this a lot. A.J. can expand on it, is that what our technology does a very, very good job of is turning that two, three, four-truck operation and giving the same tools and the same sophistication than the biggest customer we have in our portfolio has and that the meaningful contributor over time, I think.
Barry Logan: Yes, I mean if I add to it -- just to add some depth as an example and I'm going to be purposely, intentionally abstract to not -- to protect some of the competitive discussion that we need to be careful with. But one of our -- or big part of our network, historically, it's DNA was large customers, large dealers, name brand dealers, people that have been part of a nucleus of large customers for a long time. To grow that business, it needed to serve the other thousands of contractors in its local markets. And when we say working with OEM partners, an example is to go to that partner and say, listen, here's part of the market that we're not addressing. And we -- there needs to be investment in inventory and price and programs and inventory built to serve that market. I think that -- again, without being too specific, that's an example of something that's been playing out probably over the last year or two. And we want the momentum to keep going because it's adding share, it's adding sales dollars to every location and at a nice margin level.
Ryan Merkel: Okay, that's helpful. And then it sounds like the improved volume growth, at least is continuing into the first part of the year. And I guess my question is, in the press release, you mentioned A2L, there's an incremental growth opportunity and share gain opportunity. Can you unpack what you mean by that?
Barry Logan: Well, first, I think any new product offers the opportunity to create value with customers that rather than just selling the same old thing year after year, right, every juncture like this presents opportunity. So, the sales force is energized. The technology is enabled. The energy flow from this kind of change is an opportunity to do that, but it takes investment. And so that's where we think our competitive advantage lies, is in making those investments and bringing that energy to this kind of transition. And so that would be -- that's how I would look at it.
Paul Johnston: And on the pricing side, you're going to see a lift in price. The product has a higher cost. You're going to be installing an indoor and outdoor. You can't just replace the outdoor unit and not replace the indoor unit. All the safety devices for the refrigerant are on the indoor unit and have to be replaced and they can't be field installed. So, we're definitely going to see a definite uptick in revenue dollars and gross profit dollars from that.
Ryan Merkel: All right, makes sense. Thanks. I'll pass it on. Best of luck.
Operator: The next question comes from Jeff Sprague with Vertical Research. Please go ahead.
Albert Nahmad: Morning Jeff.
Jeff Sprague: Good morning everyone. Glad to hear you all. Just wonder what your final verdict, if there is one, is on the notion of pre-buy. And the reason I ask it so simplicity, right, is in a -- so simplistically is, your inventories do not look unusual in any historical light and you just made a pretty convincing case that the dealer channel is not up to their eyeballs. So, when you look back at this and kind of all the ink that's been spilled on pre-buy and what it might be, like, do you have kind of a final view on what actually happened?
Albert Nahmad: What actually happened? Who wants that one?
Paul Johnston: Sounds like a Rick question to me.
Rick Gomez: Thank you, Paul. I'll take a stab at it, Jeff. Yes, I think some of the OEMs have tried to quantify this. And that math exercise, I would say, is more art than science. And so -- but if we just -- if we take what they've quantified and if you assume an average selling price for an outdoor unit, you get to 2% or 3% of what is 9.5 million, 10 million systems a year, right? And so the question is, did it happen somewhere in pockets? Maybe. Is it fundamentally anything that would alter a competitive dynamic or a growth algorithm for the year? I just don't think so.
Jeff Sprague: Yes, interesting. That those seem to be the takeaway. And then as it relates to your own inventories, as I indicated, they look pretty normal to me. But would they be mostly 410A in your reported inventories as we see it or there's now a balanced mix there as you prepare for the new year?
Paul Johnston: We -- as we indicated, our sales are overwhelmingly 410A and our inventory was overwhelmingly 410A. And we basically have pushed out the purchase of the A2L product until the first quarter of this year and into the second quarter of next -- of this year also. But it pretty much has been 410A.
A.J. Nahmad: Yes. And maybe I'll just say that what we said our goal was, was for a harmonious transition from the old products to the new. And I think so far, we've had pretty good success on that scale of harmony.
Jeff Sprague: And it sounds like you're getting kind of a market signal from the OEMs that have tariffs happen, obviously, they're going to want to push through price. Would you expect this to be sort of almost a mechanical immediate reaction sort of tariffs go into place, day one, prices move up in concert with that?
Paul Johnston: You're definitely going to see a price increase with what has been already announced as far as tariffs in China. Most of the ductless product and a lot of the side discharge product comes from China directly. So, until the manufacturers can adjust the location of the manufacturing of those products, I think you're definitely going to see an uptick in pricing.
Jeff Sprague: I was referring more to maybe Mexico risk, any thoughts on that?
Paul Johnston: Mexico, we don't have a clue yet. What's going to happen if that's going to satisfy President Trump or it's not going to satisfy him is something that only he knows, I believe. So, once we identify that, that obviously would be a big mover as far as what the pricing action would be if we put a 25% tariff down there.
Jeff Sprague: Yes, thanks for the remarks. Appreciate it.
Operator: The next question comes from Brett Linzey with Mizuho. Please go ahead.
Brett Linzey: Hey good morning. Yes, just one more on this price/mix dynamic and specifically gross margins. So, you talked about the high single-digit to double-digit price/mix this year on new units, but also some of this additional tariff pricing. Is there any way to think about how that drops through mix versus incremental pricing on gross margin percent for Watsco?
Barry Logan: Again, I want to be very careful about this. Any kind of A2L increase that we're talking about, just the idea that any OEM makes a product that's 8% or 10% more cost, we then sell for 8% or 10% more in price, there is no gross margin kind of gift in that equation. So, you have to be careful in mixing price concepts versus the margin benefit from any of those pricing, right? So, just look at it, we said it in the press release, 50% to 60% of our business gets impacted by A2L. You've heard during the call that certainly more than half our business is 410A the first part of the year, then it inverts as we get into the second half of the year. So, you can blend that as you see fit across the next four quarters. The inflationary concept that Paul talked about, where an inflationary price increase on top of that, as that plays out and that's where some of the gross margin benefit as well as the pricing benefit flows through. And that would affect whatever -- maybe the last three quarters of the year, Paul, I'm not sure what your crystal ball tells you. But it's something that would be -- it's not current state, it's something in the second quarter and the rest of the year.
Paul Johnston: Correct.
Brett Linzey: Okay, got it.
Rick Gomez: Brett, just to add one element to that -- Brett, just to add one element to that quickly is, I think, I mean, there's rightly a lot of focus on gross margin as it relates to this. I think the more direct and the more or equally powerful aspect of this is that you're able to leverage your SG&A base as you do this. And so the ultimate beneficiary is probably EBIT margin at the end of the day because you have elements in growth -- in SG&A that aren't really reacting to some of this in the near-term. And it's probably, I think, a more compelling profit margin opportunity at the operating level and at the gross margin level.
Brett Linzey: Okay, got it. Yes, I appreciate that. And then just last one for me. So, there's this ongoing debate on repair versus replace, doesn't look apparent that you've seen a big step down in replacement to repair. But anything in the parts or the component data that's ticked up at all that would maybe inform that or suggest that is the case but it does look pretty resilient. But just any thoughts there?
Paul Johnston: Well, we've already indicated that we saw both parts and unit sales go up double-digit. So, we're seeing both of them occur at the same time. We're not seeing a repair versus a replace. It's repair and replace. And will that continue throughout the year? We'll have to wait and see.
Brett Linzey: Got it. Appreciate the insights.
Operator: [Operator Instructions] Our next question comes from Steve Tusa with JPMorgan. Please go ahead.
Albert Nahmad: Morning Tusa.
Steve Tusa: Hi good morning.
Albert Nahmad: How are you Steve?
Steve Tusa: Good, how are you? Love it when the CEO and Chairman reads the forward-looking statements, that is quite unique, so thank you for that. Just on the kind of how we're trending into this year. Thanks for all the color on like pre-buy, et cetera. Are you guys seeing anything on the refrigerant side, any volatility in price there to speak of and how this may be trending differently than what happened with R22 to 410A?
Albert Nahmad: Yes. Paul, you deal with that, please.
Paul Johnston: Yes, we're not really seeing the price of 410 spike yet, no. We have not seen any great movement there. And that's what I indicated earlier with the issue that we're having with commodities, is we're not seeing any sort of uptick. If that's what you're talking about on the 410 side. Obviously, when we get to 454, if any 454 is used in repair during the year, that will be a higher price than the 410.
Steve Tusa: Right. And I guess, are you -- do you think the channel is -- it's my understanding that you need a little bit of aftermarket refrigerant to actually install to charge it in the field or top that off. Are you seeing any availability or price issues there?
Paul Johnston: We're seeing a little bit of availability issue right now and this has nothing to do with the refrigerant, it has to do with the containers -- as far as the containers -- the availability of containers because it does take a special container to be able to handle the 454 or the 32A.
Steve Tusa: Got it. And then just on this -- on the kind of reestablishment of that supplier that had the issue last year. My understanding is that those volumes are up pretty dramatically this quarter. Can you just maybe clarify a little bit more how much that may have helped the volume number?
Barry Logan: Yes, Steve, again, it's competitive data, I think. So, I want to be careful with it. But that vendor in general is somewhat less than 10% of total Watsco in terms of sales, product sales. I mean that brand sale. So, in context, it can only be a portion of the current quarter's growth.
Steve Tusa: Right. And then just one last one for you. You talked about how you can't just replace the outdoor unit. You've got to kind of do a full soup to nuts type of replacement here. What's the difference in the cost to the consumer for doing that relative to the -- just the outdoor unit?
Paul Johnston: We haven't sold enough to really come up with a good number on that. It's going to be a higher price, obviously, because you selling an indoor unit. You've got the indoor unit that has to have the sensor as well as a switch to be able to turn on the airflow in the event of a leak. And so you've got more cost on the indoor than you did on the 410 units. Maybe by the second quarter, we'll be able to provide you with more information as far as what the delta difference is. We know it's going to be more, though.
Steve Tusa: Right. And you don't think the contractor eats that, do you?
Paul Johnston: No, I do not.
Steve Tusa: Okay. All right, perfect. Thanks for all the info as usual.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Albert Nahmad for any closing remarks.
Albert Nahmad: Thanks again for your interest. We look forward to a great year and we appreciate your following us and all the best. Bye, bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.